Operator: Ladies and gentlemen, thank you for standing by. My name is [ Krista ], and I will be your conference operator today. At this time, I would like to welcome you to the Air Canada's Third Quarter 2025 Earnings Conference Call. [Operator Instructions] l would now like to turn the conference over to Valerie Durand, Investor Relations. Valerie, please go ahead.
Valerie Durand: Thank you, Krista. Hello, [Foreign Language]. Welcome, and thank you for attending our third quarter 2025 earnings call. Joining us this morning are Michael Rousseau, our President and CEO; Mark Galardo, our Executive Vice President and Chief Commercial Officer and President of Cargo; and John Di Bert, our Executive Vice President and CFO. Other Executive Vice Presidents are with us as well, Arielle Meloul-Wechsler, our Chief Human Resources Officer and Public Affairs; Craig Landry, our Chief Innovation Officer and President of Aeroplan; Marc Barbeau, our Chief Legal Officer and Corporate Secretary; as well as Mark Nasr, our Chief Operations Officer. After our prepared remarks, we will take questions from equity analysts. I remind you that today's comments and discussion may contain forward-looking information about Air Canada's outlook, objectives and strategies that are based on assumptions and subject to risks and uncertainties. Our actual results could differ materially from any stated expectations. Please refer to our forward-looking caution in Air Canada's third quarter 2025 news release available on aircanada.com and on SEDAR+. And now I'd like to turn the call over to Mike.
Michael Rousseau: Well, thank you, Valerie. Hello, [Foreign Language]. Thank you for joining us today for our third quarter results call. We delivered a solid third quarter financial and operating performance after adjusting for the impact of the labor disruption, which, of course, occurred at the peak of the summer season. During the bargaining period with CUPE, we developed comprehensive plans to ensure the safe, orderly wind down and restart of the operations in the event of a labor disruption. These are acted on, and the entire company worked extremely hard to assist those whose travel was disruptive and to quickly return our operations to normal. I thank all our employees for their tireless efforts and unwavering commitment to supporting our customers during this challenging time. We also voluntarily introduced our special goodwill policies. We have received more than 150,000 claims to date, which we have been addressing diligently. Processing these claims is complex and requires a coordinated effort. We do expect to finish in the coming weeks. We reported third quarter operating revenues of $5.8 billion, down 5% from a year ago on a 2% capacity decline. Both declines were the result of the strike-related flight cancellations. Adjusted EBITDA of $961 million declined $562 million from the same quarter in 2024. Excluding the labor disruption, third quarter adjusted EBITDA would have aligned with our full year guidance shared last July and come close to pre-strike market expectations. Operational metrics such as our on-time performance and Net Promoter Score exceeded both internal targets and last year's levels for the quarter and year-to-date. I am very pleased with the progress we're making. Booking trends for Q4 are very strong. We expect year-over-year growth in adjusted EBITDA in the last quarter of the year. This morning, we updated our full year guide, which John will further detail for you. But first, let me turn it over to Mark.
Mark Galardo: Thanks, Mike, and good morning, everyone. [Foreign Language] I thank our employees for their unwavering commitment to our customers and to operational excellence. I also extend my gratitude to our customers, the travel trade and our airline partners for their patience and support. Third quarter passenger revenues of $5.2 billion declined 6% from the same period last year on 2% less capacity. Starting August, our year-over-year third quarter unit revenues were trending in the right direction but were impacted by the labor disruption. We estimate it was a drag of about 3 points to Q3 unit revenues. Absent this, Q3 would have amounted to one of the best relative PRASM performances amongst major North American carriers. This is driven by our revenue diversity, hub geography and customer loyalty. Our global network gives us flexibility to quickly pivot to areas of strength. This quarter and throughout the year, we mitigated the exposure to reduce demand between Canada and the U.S. In Q3, we quickly responded to Canadian's growing interest to travel domestically. The transborder sector remains stable, albeit at lower levels once adjusting for the strike. International markets continue to drive significant value. In the spring, we added capacity across the European continent, seeing a stronger Atlantic environment. Moving to cargo. Despite a revenue decline of 6%, mostly from reduced belly capacity in August, Air Canada Cargo was adaptable, and the freighter operation continued to demonstrate its value, playing a key role in capturing the opportunity from evolving global trade flows. This was evident this quarter as our flexibility in capacity from freighters allowed us to carry more of the growing and lucrative cargo demand from Asia to Latin America, fully offsetting other declining flows. Additionally, other revenues rose 15% from the third quarter of 2024 with higher Aeroplan non-air revenues, prices for ground packages at Air Canada Vacations and onboard sales. Next, our well-positioned hubs provided strong local demand from Canada's largest cities and facilitate sixth freedom connections. This year, we've doubled down on connectivity, which has been beneficial for our sixth freedom strategy. Demand has been strong despite the disruptions' impact. Year-to-date, at the end of Q3 2025, sixth freedom revenues grew a solid 9%. Our strong brand ecosystem builds customer loyalty and is a unique and strategic attribute for Air Canada. Booking patterns rebounded soon after the disruption ended, underscoring brand strength and consistency in customer behavior. Let's focus on premium. Front cabin revenues outperformed the economy cabin by 6 percentage points. Corporate improved further with roughly 11% year-over-year revenue growth from our corporate customers in September. What our Q3 results demonstrate is that looking beyond August events, Air Canada's commercial foundations are solid, adaptable and core enablers of strong results. Now let's focus on what's ahead. With our proven commercial playbook, we're uniquely positioned to see favorable industry trends and are highly encouraged by what we're seeing this fall. Fundamentally, our solid booking outlook reflects step change progress against the theme we've long discussed, addressing Air Canada's traditional seasonality and improving revenue diversification. This enables more balanced capacity deployment, revenue generation and profitability throughout the year, and the results are tangible. Currently, our relative capacity in the fourth quarter exceeds pre-pandemic levels. And as of today, we are on track for a record fourth quarter load factor and total revenue performance. We are leveraging the strength of our global network and scale of our hubs to increase our reach and access to new traffic flows. We refined our schedule, improving the connecting ways at our hubs to increase our competitiveness for connecting flows. And finally, we've deliberately built a stronger base of bookings going into the winter, filling seats that historically would have been empty. We expect our significant progress on seasonality to drive revenues and support diversification while improving our ability to take advantage of promising industry trends. Now let's dive into network and within that, international. With one of North America's leading global networks at hand, we see promising signs across the next 6 months. We see demand strength carrying all the way through U.S. Thanksgiving, particularly across the Atlantic. Beyond that, sun and Latin American markets remain solidly ahead of last year for winter with a robust advanced booking position from Air Canada Vacations and uplift from our expansion into Latin America, which also taps into rising Canadian travel demand and boost sixth freedom revenues on our transatlantic flights. Our presence in international markets remains a clear advantage. Next, we see a continued shift in consumer preference towards premium products. Once thought of as mainly a corporate segment, we see an opportunity for leisure travelers seeking our signature front cabin experience. Our booking posture in premium cabins is strong going to Q4 and Q1. As Canada's premium airline, we are uniquely positioned to attract, capture and retain this growing segment of high-value customers. Lastly, we continue to see strong corporate momentum. This is a segment that looks closer in, and then the latest data confirms the strength of September carries into October and is progressing throughout Q4. While North America remains the bulk of our corporate revenue, we are noticing signs of increased international corporate strength. Our comprehensive schedules, well-established and long-standing partnerships, premier loyalty program and superior experience reinforce our position as the airline of choice for corporate travelers. In all, we are encouraged by the trends in the fourth quarter and what we're seeing for early 2026. Although we anticipate a slight decline in unit revenue in the fourth quarter, adjusting for the disruption in Q3, this is a sequential improvement throughout the year -- through the year. Looking further into 2026, there's also a lot to be excited as we implement numerous strategic initiatives. Firstly, fleet additions. Recall, we retired over 75 aircraft during the pandemic and have been anxiously awaiting for incoming aircraft to support planned growth. We will take the long-awaited delivery of 2 new aircraft types, the A321XLR and the 787-10. Our XLRs will initially be based in Montreal and fly to exciting destinations like Palma de Mallorca, Edinburgh and Toulouse. Meanwhile, our first premium focused 787-10 will be based in Toronto, reinforcing our leadership position in Canada's largest market. And speaking of possibilities, our international network will continue to expand next summer as Catania and Budapest are added to our network, and we restore nonstop capacity to China from Toronto. We're also thrilled to be making Bangkok year-round from Vancouver, the only nonstop service to the Thai capital from North America. Second, our transition of the 737 MAX aircraft to Rouge will get into full swing. Longer term, this will enable a more cost-competitive platform, harmonized experience in a new Rouge base in Vancouver to expand our offering from Canada's West Coast. And third, we're looking forward to our recently announced expansion out of Billy Bishop Airport, adding transborder flights to New York LaGuardia, Boston, Chicago and Washington Dulles and more frequencies to Montreal and Ottawa. These routes long requested by our customers, strengthen our position in the Toronto market. In closing, we're making and executing the right commercial moves. We are leveraging our revenue diversity, our well-positioned hubs and customer loyalty to cement Air Canada as one of North America's leading carriers and deliver solid results. Thank you. [Foreign Language] John, and over to you.
John Di Bert: Thanks, Mark. Good morning, everyone. [Foreign Language]. First, allow me to take a moment to recognize the resilience of our incredible employees. We know that managing the airlines through the shutdown and restart was very challenging. Yet our colleagues rose to the occasion and maintained their commitment of care and class to our customers. [Foreign Language] In the third quarter, we reported operating income of $284 million and adjusted EBITDA of $961 million, with an adjusted EBITDA margin of 16.6%, including the $375 million impact from the labor disruption. The impact consists of the following: a $430 million impact to revenues, including [ some book away ] for travel in August and early September, $145 million in avoided costs due to reduced flying, partially offset by $90 million of cost reimbursements to customers for out-of-pocket expenses and labor-related operating costs driven by the shutdown and restart activities. This is consistent with the estimates we announced in late September. Operating expenses increased 8% year-over-year, mostly due to a $173 million onetime charge. Of this, $149 million was a noncash onetime pension past service costs from plan amendments that are related to the agreements reached with CUPE. The remaining is due to costs associated with streamlining our management structure. Fuel expense was 12% lower year-over-year for Q3. Jet fuel prices fell by 10% compared to last year, which included a $29 million hedging gain for the quarter, totaling $48 million in the first 9 months of the year. Additionally, fuel consumption was 3% lower than in Q3 2024 due to the flight cancellations. Third quarter adjusted CASM was $0.1399, up 15% from last year. About 1/3 of the increase was due to cost escalation mainly in labor, maintenance and depreciation. Roughly another 1/3 was the effect of certain favorable contract-related adjustments we recorded in the third quarter of 2024, which made for a less meaningful year-over-year comparable in Q3 '25. Excluding the impact from the disruption, nonfuel unit costs were aligned with our full year CASM expectation at our Q2 call. In all, we estimated the disruption had a drag on adjusted CASM of about 6 percentage points, reflecting incremental costs and lower capacity. Turning to cash flow. In the quarter, we generated $813 million in cash from operations and free cash flow of $211 million. We have accrued for strike-related customer compensation to be processed and paid in Q4. Additionally, in the third quarter of 2025, we implemented a new enterprise resource planning system and experienced a delay in timing of payables processing in September, equivalent to 15 days of payables. The cumulative free cash flow of $1.2 billion year-to-date reflects approximately $600 million of favorability due to the timing of certain payments in Q3. On to our balance sheet. In July, we fully repaid our convertible bonds for a total amount of $382 million, reducing the number of potentially issuable shares by $18 million. In September, we drew $231 million from our EDC loan commitment for 5 A220s that had been previously delivered. We ended the quarter at $8.3 billion in total liquidity, including $1.4 billion in an undrawn revolver. Leverage ratio ended the quarter at 1.6 turns, reflecting lower EBITDA due to the impact of the disruption. We expect this ratio to increase slightly in Q4 as we process the outstanding payables from Q3. When thinking about leverage and long-term decision-making, we will look through the onetime impact on EBITDA when assessing our leverage objective of 2x or less. Moving along, we updated our full year guide this morning. We now expect capacity to increase around 0.75% versus 2024. We project 2025 adjusted CASM in the $0.146 to $0.147 range. We reached an agreement with CUPE, except for wage terms that will be finalized through binding arbitration. Our guidance reflects the agreement and our best assumptions on the outcome of arbitration. In 2026, we will see the full effects of the new agreement flow through our labor costs, including the enhancements to ground pay and benefits. For adjusted EBITDA, we now expect $2.95 billion to $3.05 billion in 2025 and a strong fourth quarter, which should outperform Q4 2024. To close on guidance, we anticipate free cash flow between breakeven and $200 million for the full year. We expect the free cash flow use in the fourth quarter as delayed payments are brought current, including customer reimbursement amounts accrued for but not yet paid. Q4 CapEx is anticipated to be approximately $900 million, just under $3 billion for full year 2025. With the recent volatility in jet fuel prices, we continue to monitor global trends. Relying on visibility we have into Q4, we have hedged 34% of the expected fuel purchases for November and December at an average price of USD 0.52 per liter, approximately CAD 0.73 per liter before taxes, fees and shipping costs. Finally, we continue to progress on our $150 million cost reduction program announced earlier this year, which includes the preplanned management headcount reductions. We are on target for year-to-date savings and expect to deliver the full $150 million in 2025. Key components include operational efficiencies and -- operational efficiency initiatives, streamlining our management structure, process improvements and third-party spend management. We expect the cost reductions to be reoccurring in 2026. In 2026, we anticipate a step change in unionized labor costs due to recent labor agreements and as we continue to work through our 10-year agreements to shorter-term collective agreements. We also see some cost pressures from airport infrastructure and user fees as airports undergo capital investments to better serve airlines and passengers. Over time, we will aim to partially offset these headwinds with ongoing productivity gains, constant cost discipline and driving cost reduction initiatives across our business. Now let's turn to the fleet. We expect to add 3 additional A220s and 1 737 MAX by the end of 2025. Further, we expect to begin retiring old Airbus A320 family aircraft, including [ 8 319s ] and 2 320s. In 2026, we expect to receive 18 A220s, 11 A321XLRs, 4 737 MAX aircraft and 2 787-10s. While we are particularly excited about receiving our first A321XLRs and 787-10s, the delivery schedule for 2026 is considerably delayed compared to our original expectations as outlined at our last Investor Day. On average, we'll have approximately 6 fewer A220, 737s and 6 fewer A321XLR or 787-10s on any given month of 2026, which will impact our ASM production for next year. In addition to welcoming the new aircraft to our fleet, as Mark noted, we are moving ahead with plans to transfer all 737 MAX aircraft to Rouge next year. We're working toward an all-737 MAX Rouge fleet by the end of 2026. Some A320 family aircraft are expected to move to mainline, and the rest will be retired. More details will be provided when we give 2026 guidance. Looking beyond 2026, our 787-10 order for 18 firm aircraft has been modified to 14 firm aircraft with the first 10 scheduled for delivery by 2028 and the remaining 4 by 2030. While this moderates the growth pace in the near term, we remain firmly confident in the mid- and long-term opportunities ahead. In addition, the changes smooth out CapEx profile, support disciplined financial planning and preserve flexibility to scale capacity in line with demand. These modifications are reflected in our capital commitments table included in our Q3 MD&A. Our fleet strategy remains focused on profitable growth in our right to win end markets. We will continue evolving the fleet for greater efficiency and flexibility to meet customer demand. Our fleet investments support long-term sustainable value to shareholders and customers alike. Reflecting our commitment to returning value to shareholders, today, we announced our renewed NCIB. Since the inception of our November 2024 NCIB, we repurchased about 62 million shares for cancellation. Further, we retired 18 million potentially issuable shares. In aggregate, we have deployed close to $1.7 billion to anti-dilutive actions. In summary, we remain confident in our trajectory toward 2028 and our ability to manage through growth and margin expansion cycle. The strategic network expansion, premium product investment and disciplined cost management are core priorities, and our executive-led road maps drive execution across our portfolio. Despite a challenging Q3 environment, we delivered solid financial results, demonstrated the underlying strength of our franchise and continue to hit important milestones for our new frontiers plan. We'll provide a fulsome update on progress towards our long-term goals at our next Investor Day, which will be planned for some time in 2026. Thank you, and I look forward to your questions. Mike, back to you.
Michael Rousseau: Great. Thank you, John. We have a very strong business model that can recover quickly from unexpected setbacks and certainly take advantage of opportunities and execute extremely well. Operationally, we shut down and restart the airline in record time. We are encouraged by the speed at which booking patterns recovered and the strength that has followed. Negotiations supporting our staff at the airports, contact centers and maintenance facilities will begin soon. Over decades, we have consistently reached agreements that value our employees and support the airline's future. And we look forward to productive discussions with our unions. Our commitment to our plan includes making very tough decisions. In July, we announced to our management colleagues that we would be streamlining our organization. After a comprehensive evaluation, we made a difficult decision to reduce certain management positions, representing approximately 1% of our total headcount. Next year, we expect to take delivery of 35 new aircraft, the most we have ever received in a single year, supporting our global growth initiatives. We will receive the first game-changing Airbus 321XLR, which will not only enable us to launch new routes, but it will help us offer some services year-round and even out our network seasonality. As Mark noted, the travel market remains robust, and demand is strong. In particular, business travel continues to recover. Our recent announcement to add routes from Toronto Island next spring underscores our commitment to offer more options to our loyal travelers, including our Aeroplan members. We are pleased that we have more than doubled our Aeroplan membership since the program is relaunched, now proudly counting more than 10 million members. Our focus on customer service resonates throughout the network. I was pleased that our Net Promoter Score rose by 10 points in the quarter and that Air Canada once again won a 5-Star rating from APEX is excellence in customer experience recognized. And finally, today, we announced the renewal of our normal course issuer bid. Our capital allocation priorities remain unchanged: invest in growth, protect our strong balance sheet and deploy excess liquidity strategically. As our track record shows, including in this quarter, we are executing on our plan, seizing the right opportunities. Strong operational growth and disciplined execution are driving effective cost management and reinforcing our diversified commercial foundation, which are the key components of our right to win. With prudent steps to smooth out capital expenditure profile and a renewed NCIB in place, we've established a clear framework to return value to shareholders. And we have exciting times ahead of us with growth plans fueled by our key strategic initiatives like our revitalized Rouge offering and new state-of-the-art efficient aircraft. As you heard today, we will also continue to improve our cost structure through productivity gains, operational efficiencies and constant cost discipline to mitigate near-term pressures. We continue to focus on free cash flow generation in order to return value to shareholders. The hard work ahead in 2026 will position us very well for the second half of our strategic plan. With a solid foundation, an excellent balance sheet and a very talented and dedicated team focused on execution in our customers, we are confident in our ability to deliver significant long-term value to all of our stakeholders. Thank you. [Foreign Language] Valerie?
Valerie Durand: Thank you, Mike, and thank you all for joining us this morning. We are now ready for your questions and ask that you limit yourself to one question and one follow-up, please. Over to you, Krista.
Operator: [Operator Instructions] Your first question comes from the line of Konark Gupta with Scotiabank.
Konark Gupta: Maybe this is for Mark. I think you mentioned that RASM trends are expected to be slightly down in Q4. I'm just kind of wondering what are you seeing in different markets here. I think in corporate, obviously, you're saying it's growing nicely, and I think Atlantic demand continues into -- well into October and some parts of November. Is much of this RASM weakness coming still from the Pacific normalization and maybe transborder?
Mark Galardo: Konark, so on this particular item, when we look at Q4, we are expecting somewhere between flat RASM to maybe slightly down RASM. But overall, the way you should look at this is the transatlantic is looking at overperformance. We're looking at a very strong transatlantic network all the way through Q4. We see a lot of resilience in the sun market as well as we've seen a little bit of shift away from transborder into the sun. We're having a very strong November, December into the sun. And then you've got those other supporting pillars like premium demand strength and corporate demand strength that are kind of sustaining some fairly decent yields that we're going to have on the transborder despite the demand drop. So that's kind of the color in terms of what you can expect for Q4.
Konark Gupta: And then on the CASM side, John, I think the implied guidance for Q4 suggests a flattish CASM from last year. I mean given the inflationary environment you guys are in and obviously, the labor contracts and all that, what is contributing to the flattish CASM here? I mean what are the offsets? I mean some of the cost savings, I'm sure like are coming through, but is there anything else like in sort of one-timing -- one-timer in nature in Q4?
John Di Bert: No, I would say it's largely -- and you've seen we've been active, including keeping headcount in check. And so I would say, generally speaking, it's cost focus. We get some ASM growth, so that helps as well. Fourth quarter actually carries the entire ASM growth for the full year. And -- so that's obviously helpful. Nothing really to highlight in terms of kind of big positives in the fourth quarter.
Konark Gupta: Right. And I think the maintenance contract adjustments, you already lapped those in Q3, right? I mean there's nothing in terms of noise from last year and Q4. Okay. Perfect.
John Di Bert: Right. Q3 was [ noise and ] I covered that in the commentary, but I think Q4 should be a bit more of a reasonable compare.
Operator: Your next question comes from the line of Savi Syth with Raymond James.
Savanthi Syth: I was just wondering on the commentary about the fleet kind of delays in 2026 versus kind of expectations last year. I think the visibility here. So I was kind of curious how you're thinking about 2026 capacity? And if you're kind of hiring correctly to that versus kind of in the past where maybe some of the fleet delays were somewhat surprising and therefore, kind of hard to manage on the cost side.
John Di Bert: Yes. I'd say, first, I'd separate that into 2 answers. One, I think we've been disciplined with hiring after we kind of stabilized the operations through '24. And I think this year has been a fairly disciplined approach. And we've always said we're going to be driving productivity as the airline continues to grow. So I think in and of itself, we're going to continue to work that way. With respect to the capacity growth, for sure, I mean, we try to be as proactive as we can with respect to balancing everything we need to bring on those aircraft properly. And I think we have a pretty good read of what 2026 looks like. And we're going to obviously operate in accordance. But yes, for us, we're well into the planning cycle and have a pretty good read on what we expect for capacity growth next year.
Savanthi Syth: That's too early to share?
John Di Bert: Yes, in precision, yes. But I think we're adding 35 aircraft in total. We're going to be retiring a significant amount of aircraft as well. So we'll have a net balance of somewhere in the mid-teens, I think, or maybe just less than that, probably in the low double digits. We'll hold that for the guide in February.
Savanthi Syth: Got it. I appreciate it. And then just a follow-up on that. Just CapEx came down. I'm wondering what the drivers were. Was it just that related to the fleet order changes or anything different going on with the CapEx for you?
John Di Bert: No, it's totally correlated to the adjustment in the -10 order.
Operator: Your next question comes from the line of Daryl Young with Stifel.
Daryl Young: Just wanted to get a sense of how you're thinking about the peak Q3 in 2026? And any thoughts on just smoothing of seasonality and I guess, some of the strength you're seeing to start this year. Is that sort of a pull forward of Q3? Or how should we think about that?
Mark Galardo: Thanks. It's an excellent question. It's something that we're actually debating here internally. Obviously, what you can see in 2025 is that there is more relative strength in spring and fall than there actually is in the summer peak. I think that's a trend that we see consistently across the North American landscape. So we're working with our operations colleagues to see how we can better allocate aircraft and maintenance activities to maybe take a little bit of the pressure off Q3 and load up a little bit more in Q2, Q4. But with -- as it relates to 2026 specifically, just the timing of aircraft deliveries is such that there's going to be some decent ASM growth in Q3 relative to Q2 in 2026.
Daryl Young: Got it. And then a follow-up just around the NCIB and your free cash flow now that the CapEx has been deferred. Is that something that we should think you're going to be active on starting in November here?
John Di Bert: I won't give any position to timing, but we've put it in place and we intend to use it. And I'll just give some color around our buyback program. We did announce in aggregate about $2 billion over the next couple of years as we set that out in December of '24, and we said that was going to be part of the midterm plan, 3 to 5 years. So right now, we stand at about $1.3 billion of shares bought back. We also did the convertible debt extinguishment, which is anti-dilutive. So there's still room for us to continue to go. Our plan is continuing to execute as we expected. I think the 2025 positive cash is a good checkpoint here. And obviously, a little bit of an improved profile in CapEx helps as well. We'll pick the right spots, but we do intend to be active on this NCIB, and we'll do that as appropriate.
Operator: Your next question comes from the line of Tom Fitzgerald with TD Cowen.
Thomas Fitzgerald: I'm just curious like how you're thinking about kind of managing the transition of Canada point of sale and transborder in the March quarter and whether you think just -- how Latin markets are shaping up so far and just how you're thinking of managing that risk?
Mark Galardo: Tom, just to be precise on your question, you're speaking about the upcoming spring break in March?
Thomas Fitzgerald: Yes, yes. Just the broader -- I know the sun markets are a big demand driver in the March just in the transborder, that's a heavier portion of it. I'm just kind of curious how that's -- I know you kind of have -- you got a lot of growth in the Latin markets coming up. Kind of curious how that's shaping up and what we should be watching for?
Mark Galardo: Yes. Okay. Good question. So for Q1, the sun market is developing quite nicely with positive load factor and flat yields all the way through. So as we think about March, one of the items that we're looking at very closely is obviously our transborder spring break capacity. And because we're noticing a better kind of equilibrium between supply and demand, I mean, obviously, you've seen a lot of competitors withdraw capacity into U.S. leader markets, it's actually a much more favorable revenue environment going into Q1 and into March break. And if there are further opportunities for us to move capacity around, we'll make those calls later on. But we are seeing -- we're definitely -- I'd say we called the bottom a little bit on the transborder leisure kind of demand erosion.
Thomas Fitzgerald: Okay. That's really helpful. And then just as a follow-up, I was wondering if you have any more color on sixth freedom between Pacific and Atlantic and just some of the deceleration in that growth. I don't know if it's just noise from the industrial action or anything of note that we should be thinking about?
Mark Galardo: Yes. Thanks. So the demand growth so far for sixth freedom revenue growth has mostly been on the transatlantic. There's been a little bit of Pacific growth, but it's been relatively muted this year. And as we think about Q4, it's mostly the transatlantic that's driving it. A portion of it being U.S. to obviously the transatlantic, but a big growth on Latin America to Europe via Canada, which is going to sustain our sixth freedom performance throughout the year.
Operator: Your next question comes from the line of Chris Murray with ATB Capital.
Chris Murray: Just very quickly, thinking about the fleet changes next year. As you said, there's a lot going on. But I guess I want to focus a little bit on Rouge. So can we just think -- maybe go through what the process is going to look like moving all of the 737s into Rouge. And I'm assuming you'll end up rebranding those aircraft, but if you can give us some more color on that, that would be great. And how we should think about the transition over the year would be helpful.
Mark Nasr: For sure. It's Mark Nasr. So we're going to begin with our first 737 MAX that's currently operating at mainline. It's going to go in for reconfiguration in about 6 weeks here. The reconfiguration of those aircraft is a very efficient program. It will take about a week to do each one, and we'll move through the entire fleet of the 40 aircraft that we currently have in the standard mainline configuration over the course of the year as well as the 5 additional new deliveries that we're going to take. And so we expect, as we get towards the end of next year, the very beginning of the first quarter, that transition to be complete. Of course, we're going to be bringing over several of the Rouge aircraft into mainline. That's a little bit more of an involved process with regards to reconfiguring those aircraft to match our mainline standard, and that should be completed in the early part of next year. And the 2 activities are going to happen to be able to balance capacity between the 2 operating certificates. Of course, we'll also be bringing Rouge to the West Coast by basing several aircraft out in Vancouver. With regards to the configuration, we haven't announced the details yet. We'll do so in the coming weeks. But we will be densifying from the current LOPAs that we have at mainline for the 737 MAX, and we'll be removing some of the J cabin and adding more into the economy cabin. Those details will be announced shortly, but it will be -- it will ensure that we have the cost -- the unit cost performance at Rouge that we need to be successful in the leisure market.
Chris Murray: Okay. That's helpful. My last question, maybe for John on the NCIB. One of the questions I've been getting from a lot of folks is just when you did the last NCIB, I guess it went out pretty fast and burned through the allocation, which left you kind of without the tool to use as the stock came off. Is there a bit more thought to being maybe more formulaic or balanced across the whole time period? Or is it still going to be kind of an opportunistic thing? I know you put in a purchase plan for it. But just thoughts on kind of the bigger picture strategy around how to use it would be helpful.
John Di Bert: Sure. Well, I think there's different circumstances. And don't forget, we put out an SIB in the middle of the year last year, right? So we were not without tools, and we did take advantage of that. So I would argue that, that wasn't actually what happened. So the first [ 800 ] did go out more quickly, and we had telegraphed that. We said we were going to be fairly rapid on once we had come out of 2024 with respect to restabilizing the airline and frankly, working down the debt, we would be anti-dilutively focused, and that's what we did. I think we'll -- I won't telegraph exactly here when and how. I think we'll use it appropriately. We have plenty of capacity at 10% of the total float. So we're running the business, and it's not just one dimensionally. We're bringing up the fleet. We're obviously focused on cost containment and cost management. We're geared towards free cash flow generation as we kind of build out the airline on a structural basis. And so we're going to keep a strong balance sheet, at the same time, complete the program that we had started when we announced the $2 billion over the next couple of years. So no precision on the exact use, but we'll do it right through the time of the NCIB.
Operator: Your next question comes from the line of James McGarragle with RBC Capital Markets.
James McGarragle: So I had a question on the capacity in the Canadian market. You've kind of flagged, obviously, your lower CapEx. So can you just kind of talk about the capacity trends through the remainder of 2025 and into '26? And any notable yield trends that are kind of emerging as a result of some of these capacity shifts?
Mark Galardo: James, so on the capacity side, we continue to see that the domestic market is obviously very competitive. Generally speaking, I think demand -- sorry, supply is up about 4%, 5% going into Q4 just on the domestic alone. There's a better balance of supply and demand on the transborder, which we think will help sustain yield and revenue recovery on the transborder sector. The transatlantic is fairly stable with low single-digit capacity growth, which is going to obviously provide some stability on the yield and load factor side on the Atlantic. Of course, as you know, and we discussed on the Pacific, there's been a sizable growth in demand from China -- sorry, in supply from China, Hong Kong, Korea. There is yield pressure on Asia and especially as we've added more capacity to China and we absorbed that capacity, we should anticipate that the yield and RASM will continue to be negative all the way until probably Q1 or Q2 next year. And then the sun market, the capacity growth is up double digits, but our revenue load factor and yield performance are all in the green. So overall, a pretty balanced market, and we've got, of course, the ability to move capacity around as market conditions evolve.
James McGarragle: And just for my follow-up on the lower CapEx. So how should we be thinking about the trade-off here longer term? Obviously, positive for free cash flow, but does this kind of pose any risk to your longer-term plans that you highlighted at the Investor Day? And kind of how should we be thinking this in the context of cost and margins as the newer fleet was expected to be a driver of increased efficiency? And I'll turn the line over after that.
John Di Bert: Thank you. Thanks for the question. I think all those things stay intact. I mean the -- when you look at the overall addition of aircraft, you're talking about 90 aircraft or so over the period of whatever it is, 3, 4 years. We -- this adjustment affects -- for sure, I mean, if you look at 2025 in terms of ASM growth, it was a bit of a stall. So I think just we pace accordingly here. The 787s did have quite a bit of delays from the original purchase date versus coming in 2026. I think this is just managing that delay scenario. So yes, 2028, you'll have 4 less aircraft in there. We'll work through that, see what it means. But ultimately, we're bringing in 14 787s and 30 321s, and there'll be plenty of good aircraft and plenty of good capacity. And we think that we're in good shape to deliver on our longer-term objectives.
Operator: Your next question comes from the line of Alexander Augimeri with CIBC.
Alexander Augimeri: So, yes, just looking at your strong results within premium and in corporate, I was just wondering if you can provide any additional color on this as we look forward into the end of the year in 2026.
Mark Galardo: A little bit early to talk about 2026 because it's such a low base of bookings. But as we kind of dive into Q4, I think what you should anticipate is continued double-digit increase in overall corporate revenue and basically across all geographies, in particular, a nice growth on the transatlantic. And on the premium side, we continue to see a lot of strength in the business and premium economy cabins with both positive load factor and yields. As we all know, there's a little bit of pressure in the economy cabin in terms of yields.
Operator: Your next question comes from the line of Sheila Kahyaoglu with Jefferies.
Kyle Wenclawiak: This is Kyle Wenclawiak on for Sheila. I was hoping, I know it's early, but if we could talk a little bit about the puts and takes in terms of the profitability walk for 2026. You have the 17-plus percent margins out in 2028, but it sounds like a lot of the fleet benefit is now kind of moving right again. And you mentioned a bit about the labor contracts and the work rules kind of run rating next year. So can you kind of help us frame what 2026 profitability is? And what are sort of the moving pieces to keep in mind?
John Di Bert: I think you covered some of it, right? So in terms of absolute ASM production, I think we'll still have solid year-over-year growth from '25 to '26, but '25 isn't where '25 was originally intended to be. So in absolute, you'll get a little bit of pressure there. Again, we also had -- I mentioned in my comments, what amounts to, call it, 6 long-range aircraft and 6 kind of continental range or shorter-range aircraft less than we anticipated when we had the original long-term plan at Investor Day in '24. So that's a pressure point. I think when it's all said and done, we'll still see very nice growth, but we will not see all of the benefits of the modern aircraft and some of that long-range flying that we would have liked to see in '26. That doesn't go away. It just gets pushed out a little bit. So I think '27 and certainly in '28, we'll have a lot of that fleet in place and a lot of the margin benefits that we're expecting. With respect to puts and takes, I think we've been very focused on cost reduction and driving productivity. And I think those will continue to deliver value. We do have a step change in labor. We've started that cycle in '24 with the pilot agreement, '25 with flight attendants. And we do expect a couple of other labor agreements in 2026 to be completed. I mentioned in the comments as well, we have some pressure from those step changes. We're planned for them, but they will come through and kind of be most acute as we go through 2026. So I think for all intents and purposes, looking out probably past '26, '27, '28, we talked about a 17% plus margin. I think that's still well in play. We'll continue to work through and see where we end up as we complete our planning cycle, both the '26 and the longer term. But we're still very focused on those high-teen margins and just navigating through some movements overall from an airline and business model point of view, still feel very good about generating positive cash structurally and finding accretive growth.
Kyle Wenclawiak: If I could just follow up quickly on the 787-10s. I know you mentioned it's just related to delays and maybe it's just kind of normal case negotiations. But is that a signal of what you think the network is going to shape up to be in a few years' time because those are your long-haul, most premium type aircraft. And I assume there's a bit more underpinning why you guys made that decision.
John Di Bert: Yes. I mean, it's not. So frankly, those were 18 aircraft to come in, in 2026 and a couple in '27. So that order would have been filled fairly rapidly. There's been delays. We've just managed with Boeing to adjust because of the impact of those delays in how we take those aircraft. Longer term, no changes in our expectations. And when you look at it, right, I mean, all in, you can do the math on an envelope, but you're talking about maybe 2% of total capacity by the time we get to 2028.
Michael Rousseau: And just -- it's Mike Rousseau, just to follow on that. We think our timing is very, very positive. As you know, Canada is diversifying trade around the world, and we think we play a big part in that diversification. So strategically, bringing in widebodies will allow us to work with Canada on diversifying trade.
Operator: Your next question comes from the line of Andrew Didora with Bank of America.
Andrew Didora: A question for John. I guess with the strike and the way it kind of has influenced near-term EBITDA and cash flow, net leverage is probably a little bit different than you were initially planning for 2025. But I guess when you think about executing on the NCIB, I guess, how do you think about executing on the NCIB in the construct of kind of where your leverage has gone? And how do you think about that keeping that leverage in your range going forward with this plan in place?
John Di Bert: Yes. I mentioned it in the commentary, right, that we would look through that onetime hit in Q3 when we thought about long-term decision-making and capital deployment. So we -- I mean, that's a nonrecurring onetime. It won't affect how we view the strength of our balance sheet or the capital deployment decisions and strategy we have to make. I think it will fall off the calculation in 3 quarters and 4 quarters. So -- and still feel very good about our balance sheet. We feel good about how we're allocating capital. No changes.
Andrew Didora: Okay. Fair enough. And kind of more of a kind of focused question here. Just in terms of free cash flow, right, I think year-to-date, a little bit over $1 billion. You're guiding to flat to up a little bit for the year. I know 4Q is typically seasonally weaker. Just curious what brings that -- it seems like 4Q will be much worse than normal seasonally from a free cash flow perspective. Is that because of the strike -- the cash payouts from the strike? Anything unique there?
John Di Bert: Yes. Thanks for asking the question. So we highlighted in the commentary that we have about $600 million, including some of the comp that is accrued and will be paid, but mostly from a delay in vendor payments in the third quarter. We went to an SAP implementation. We had planning for transition. In there, you have about 15 days' worth of payables that would have otherwise been paid in Q3 that will be paid in Q4. So when you take that $600 million out and you adjust for what I mentioned was roughly $900 million of CapEx, you get a pretty normal free cash flow when you consolidate Q3 and Q4 together. So really, at the end of the day, it's working capital restoration of the payables that were not out the door in Q3 that will catch up in Q4 in that $600 million.
Operator: Your next question comes from the line of Fadi Chamoun with BMO Capital Markets.
Fadi Chamoun: A question maybe for John. I want to dig into the CASM picture a little bit. So you've kind of averaged about 4% adjusted CASM inflation in the last 3 years, including '25. Going into '26, you've got a bunch of narrow-body, which is potentially pressure on CASM, and you've got some inflationary pressure in labor, but you also have growth and productivity. I'm just trying to think, do we start to go kind of sub-4% as we go to '26? Any kind of framework how to think about the adjusted CASM as we go into next year?
John Di Bert: Fadi, fairly, I think we'll address that a little bit more when we get to our guide in February. We're working through that now. I think that '26 will have a bit of pressure, right? I mentioned it before. You're not -- you're getting the ASMs, you're not getting the ASMs that come from a longer-range flying in quite the mix that we would have liked. So that typically is a little bit helpful. The impact of modern fleet as well that we had kind of originally anticipated for '26 is going to be a little bit stalled. So I'm not concerned about our ability to generate those cost savings and cost reductions. They will just come a little bit later than we had planned for. So I think in 2026, probably not the year where you have the kind of flattening out of cost on a unit basis, but still very confident that will come probably near the end of the year and into '27, '28.
Fadi Chamoun: Okay. And just a follow-up on the CapEx and the plan for 2026. Any idea of what kind of the split is for sale leaseback maybe versus straightforward financing?
John Di Bert: Yes. So we mentioned, right, in our long-term planning in our Investor Day kind of 3- and 5-year look that we would be active with sale leasebacks. We had earmarked roughly $3 billion on, call it, I don't know, maybe whatever it is, $8 billion of aircraft acquisitions over the same period. And we talked about bringing our owned-to-leased ratio down from 80% owned, 20% leased to something like 60%, 65% owned and, call it, 35% leased. We will continue to do that. We want to do that in the years where we're peaking in terms of CapEx because kind of this logjam of delays and we haven't had a lot in the last couple of years and now finally coming into the peak of our growth cycle. So we will be deploying sale leasebacks in '26, '27, and we'll work through all of that and probably give you a little bit more color as we set those things up for 2026 when we guide. But yes, there will be components of sale leasebacks there for sure.
Fadi Chamoun: Okay. Any fuel hedges actually for '26 or it's just Q4 that you're hedged for?
John Di Bert: Yes. No, none for '26. That's something to consider. We typically look at the booking curve and what fares we've already sold. And then I mean it's been -- notwithstanding, there has been some volatility. It's been a relatively range-bound fuel price, specifically, I would say, after the spring of '25 through the rest of the year. And we've participated through the year on a couple of occasions, probably around 20% total year fuel hedged when you aggregate all of it. And we did so mostly within the 90-day booking curve once we had fares sold and we saw some breakdown in pricing.
Operator: And that concludes our question-and-answer session. I will now turn the call back over to Valerie Durand for closing comments.
Valerie Durand: Once again, thank you very much for joining us on our call this morning. Should you have any additional questions, don't hesitate to contact us at Investor Relations. [Foreign Language] Have a good day.
Operator: Ladies and gentlemen, this does conclude today's conference call. Thank you for your participation, and you may now disconnect.